Operator: Good afternoon, and welcome to the Lakeland Industries First Quarter Fiscal Year 2015 Earnings Conference Call. [Operator Instructions] 
 Please note this event is being recorded. Before we begin, parties are reminded that statements made during this call contain forward-looking information within the meaning of the Security Acts of 1933 and the Securities Exchange Act of 1934. Forward-looking statements are all statements other than statements of historical facts, which reflects management's expectations regarding future events and operating performance and speak only as of today, June 12, 2014. 
 Forward-looking statements are based on current assumptions and the analysis made by the company in light of its experience and its perception of historical trends, current conditions, expected future developments and other factors it believes are appropriate under circumstances.
 These statements are subject to a number of assumptions, risks and uncertainties and factored in the company's filings with the Securities and Exchange Commission; general economic and business conditions, the business opportunities that may be presented to you and pursued by the company; changes in law or regulations and other factors, many of which are beyond the control of this company.
 Listeners are cautioned that these statements are not guarantees of future performance, and the actual results or developments may differ materially from those projected in any forward-looking statements. All subsequent forward-looking statements attributable to the company or persons acting on its behalf are expressly qualified in their entirety by these cautionary statements.
 At this time, I would like to introduce to you the host for this call, Lakeland Industries' Chief Operating Officer and Member of the Board of Directors, Steve Bachelder. Mr. Bachelder, you may begin. 
Stephen Bachelder: Thank you. Good afternoon to you all, and thank you for joining our fiscal 2015 first quarter financial results conference call. I'm sitting in for our Chief Executive Officer, Chris Ryan, who is on an extended business trip to China. My remarks today were prepared with Chris' input. 
 We're going to provide brief opening statements on the status of operations and on our financial results for the quarter. The call will then be opened up so that we may respond to your questions. 
 Now I'd like to discuss our operating strategies and the progress that has been made, along with a view of our objectives as we move forward. I'm very pleased to share with you the solid operating progress and financial results that have been achieved as we report on our first quarter. This is the culmination of what has now been a nearly 3-year transition and turnaround of our business. It is with sincere gratitude and on behalf of all of our shareholders that we acknowledge the hard work and dedication of our global workforce and management team, which have been critical to the successful implementation of our strategies to date. 
 I'd like to start -- first discuss some of the key initiatives of our operational turnaround over the past couple of years that have enabled us to deliver improved financial results for the first quarter and position us to continue on this trajectory. These key areas include leadership enhancement, sales diversification and growth strategies, manufacturing and operational efficiencies and financial liquidity. 
 In the area of leadership enhancement, we remain a very lean organization, but we believe we have fortified our businesses around the world with very accomplished management. While our CFO, Gary Pokrassa; and CEO, Chris Ryan, have led the company to this turnaround period, I manage our North American business, and Charlie Robertson runs the balance of international operations. At some time in the future, we will consider adding an executive to handle all of Latin America as a carve out of our international operations, which is particularly important, given the robust and fast-growing demand for industrial and protective garments in that region. We have already done this with our Asian operations, where we now have a very strong regional executive. 
 Within each country, we also maintain local management and sales leadership coverage. Several of these additions have been made within the past year, and we are beginning to see some meaningful traction from them. 
 Perhaps the most critical regional operational leadership was in Brazil. We hired a new CFO in Brazil and a new CEO, who is a turnaround specialist. This followed an earlier replacement of the unit's complete management. 
 In China, we strengthened the finance team as that business has been growing rapidly. And throughout Latin America, we've appointed sales leadership, as well as made several additions to our sales force. 
 This takes us to our sales diversification and growth strategies. Three years ago, when I was appointed as the company's U.S. sales manager, we were still heavily dependent on DuPont for nearly 50% of U.S. revenues. A few months later, we lost that business practically overnight, potentially putting the company at risk. We are very proud of the way our sales and operations team rose to meet that extreme challenge, convincing most of our customers to convert to our own brands and ramping up our production to fill the void. 
 After 2 years, we were able to regain essentially all of the lost margin, a great accomplishment that gives us confidence we can deal with whatever comes our way. 
 Today, we have essentially no domestic DuPont sales, and our U.S. sales in the first quarter of fiscal 2015 are up about 6.5% from the earlier period, driven in large part by these strong sales and operations team since the new product introductions. 
 Demonstrating our diversification, our top 4 sales regions, based on first quarter figures, are North America and about 50% of consolidated sales; Latin America, 15%; China and Asia Pacific at about 12%; and Europe at about 12%. Total consolidated sales increased by over 8% or in excess of 9%, if you exclude Brazil, which is an attractive rate of growth with international revenues growing even faster than our domestic sales. 
 Moving on to manufacturing and operational efficiencies. Within the past year, we sold our Qingdao business in China, which contributed to our operating income in China, delivering a profit of $960,000 in the first quarter of fiscal 2015, versus $388,000 in the prior year period. 
 One of our most recent developments includes the closure of our facility in Pennsylvania. Production from this location, as well as certain product lines in China, have been consolidated into our facilities in Mexico. Significant fixed cost savings will result, as well as lower cost of goods sold versus Pennsylvania. 
 A doubling of the size of our Mexican facility a few years back is aligning with our strategy. We anticipate in the next few years, Mexican cost will be comparable to China cost due to continued labor cost increases in China. But in addition, working through our Mexican facility provides greatly shortened and simplified supply-chain benefits, 3 weeks instead of 3 months, in many cases, with resulting better service and less inventory and working capital tied up. 
 So this is a very positive development, and you have probably noticed it as a significant trend in many industries. So we want you to be aware we are already well-positioned to benefit from it. 
 Along with the increase in production in Mexico, we have recently upgraded our sales team there with the hiring of a very strong sales manager and 2 more salesmen, who are well positioned in the petrochemical electric utility, mining and automotive industries. The recent opening by Pemex to participation and investment by foreign energy companies is a very bullish development for Mexico's economy, as much new development of oil fields, including very significant frac-ing opportunities, has been deferred due to lack of capital available within Pemex. And of course, it seems like we read about a new automobile plant opening down there almost every month. So we are making the investment to get our share of what we expect to be a fast-growing market for protective clothing. 
 Through our manufacturing efficiencies, as well as favorable product mix, our worldwide gross margin in the quarter was 30.2% compared to 28% last year. Operating expenses worldwide decreased as a percentage of sales to 27.7% in the first quarter this fiscal year from 29.1% last year, though it increased in absolute dollars by $200,000. 
 Our operating expenses for Lakeland, excluding Brazil, increased by $558,000. These expense levels reflect the restructuring in Brazil, where costs have been significantly reduced to better match its sales level, as well as increased spending in other regions, where we are experiencing or gearing up for sales growth, including Chile, Argentina, Russia and Kazakhstan. 
 Consolidated operating income of $583,000 in the first quarter is a noteworthy improvement from a loss of $230,000 -- $237,000 last year. Excluding Brazil, operating income was $858,000 this year versus $692,000 last year. And consolidated adjusted EBITDA increased 124% to $1.6 million versus $693,000 last year. Excluding Brazil, consolidated adjusted EBITDA was $1.8 million this year versus $1.5 million last year. These results demonstrate the leverage in our model, accompanied by increased sales and effective expense management practices. 
 It also reflects the fact that our new CEO in Brazil has staunched most of the bleeding there through some very decisive moves and has the business moving in the right direction again. As I mentioned, he is an accomplished turnaround artist, and we are pleased to report that the turnaround we have so needed there is now happening. Perhaps, the remaining hurdle that will put us over the top in Brazil is to obtain permanent financing, which we are working on and are hopeful we will have in place before too long. 
 This brings us to the final topic I will address today, financial liquidity. Our improved EBITDA, which is the highest level in 3 years, certainly plays a role and provides us with some breathing room with respect to our present spending level for sales and marketing initiatives and coverage of our corporate overhead. Our capital investment programs are largely behind us. CapEx declined by 89% to $90,000 in the first quarter of fiscal 2015 as compared with $830,000 in the prior year. 
 In Brazil, which, for most practical purposes, has been separated from our consolidated financial performance as it relates to our commercial lending negotiations, we continue to seek more permanent financing arrangements with private equity sources. We are hopeful to complete the financing in the near future. 
 As Chris mentioned on last quarter's conference call, we expected a good first quarter, and we are pleased to deliver on that promise. Our EBITDA has improved from last quarter as has our bottom line. Moreover, we have strengthened the organization on many fronts. Our results in the first quarter bear out the progress we have made from both last year and on a sequential quarter basis, with each division making improvements strategically, structurally, operationally or financially. 
 Given the demand trends we are seeing and the position we're in, we expect continued solid performance on a consolidated basis for the balance of fiscal year 2015. 
 That concludes my remarks. I will now pass the call to our CFO, Gary Pokrassa, to provide a more thorough review of the company's financial results for the first quarter. 
Gary Pokrassa: Thank you, Steve. Q1 operating income was $583,000 this year compared to a loss of $237,000 last year. And excluding Brazil, operating income was $858,000 this year versus $692,000 last year. The Brazil Q1 operating loss was reduced to $276,000 versus $929,000 loss last year. 
 Q1 sales increased to $23,508,000 this year or 8.1%, up from $21,737,000 last year. Excluding Brazil, sales increased to $19,954,000 or up 9.1% this year. 
 Q1 adjusted EBITDA is $1,558,000 this year versus $693,000 last year. And excluding Brazil is $1 million -- $1.7 million this year versus $1.5 million last year. 
 Looking at our regional business highlights. China operating income was $960,000 this year compared to $388,000 last year. Last year included a $295,000 loss from Qingdao, which we sold in Q2 last year. 
 The Chile operating income increased to $289,000 this year, up from only $8,000 last year, which reflects a large sale to Ecuador this year in Q1. 
 U.S. sales increased 6.5%. However, we required an additional 300,000 of inventory reserves for Nitrosol gloves. Those are now fully reserved. 
 Sales in Brazil have stabilized under new management and we're pretty much comparable to the prior year at $1.75 million. 
 In Argentina, we've resolved their internal working capital shortages immediately following our financing in Q2 of last year. However, government restrictions on imports in Argentina caused shortfalls in sales for the second half of last year and continuing through Q1 of this year. Coordination of customs imports issues remains a problem. Management is pursuing all possible remedies in Argentina. 
 In Q1 of FY '15, gross margin for Lakeland worldwide was 30.2% compared to 28.0% last year. Excluding Brazil, gross margin increased from 29.0% last year to 29.9% this year. 
 Operating expenses worldwide increased by $200,000, decreased as a percent of sales to 27.7% from 29.1% last year. 
 Operating expenses for Lakeland worldwide, excluding Brazil, increased by $558,000. And as a percent of sales, excluding Brazil, increased from 25.5% to 26.0%. Adjusted EBITDA increased to $1.6 million this year from $700,000 last year. 
 Adjusted EBITDA for Lakeland worldwide, excluding Brazil, increased from $1.5 million last year to $1.8 million this year. Most of the improvement in adjusted EBITDA was generated in China, Chile and Brazil. 
 We had a net loss of $64. Basically, it's a breakeven versus an $800,000 loss and $0.16 a share loss last year. And for everyone's information, the net book value per share accounting this year underlying the warrant is $7.97. 
 And that concludes my remarks. I'll turn the call back to Steve. 
Stephen Bachelder: Okay. Thank you, Gary. I will now turn the call over to the operator for the Q&A session. 
Operator: [Operator Instructions] Our first question comes from Doug Ruth of Lenox Financial Services. 
Douglas Ruth: Could you offer some commentary on the fire protection sales in America? That seems like it's been especially strong. 
Gary Pokrassa: Steve, do you want to take that one? 
Stephen Bachelder: Okay, Doug. Yes. We -- I have to attribute that in a very large part to our product manager and designer who -- John Darian [ph], who is -- he's behind all these new designs, such as our Stealth and our B-2, sort of an Air Force theme. But these designs are something new in the business, a little more style, a little more practicality, extremely well received. And so that's driven a lot of it. But we've also really improved our operational side of it. So our costs are better controlled. And it's just kind of clicking right now. In fact, as well as it's doing in the U.S. compared to 1 year ago, I think we're probably almost double where we were 1 year, 1.5 years ago in the U.S. It's doing phenomenally in Latin America. They must be responding to the extra style because we have had multiple hundred thousand dollar orders from major departments down there, including one, I believe, for somewhere in the range of $600,000 to $800,000 recently. So that's a real -- I think I'm very proud of John for what he's done. And he's becoming a real success story for us instead of sort of an afterthought of how do we fix it. 
Douglas Ruth: Yes. And you feel like this trend could continue in the second quarter? 
Stephen Bachelder: We're not seeing any let-up in interest in the United States. We are seeing really great upside internationally. It's not just Latin America. Also, in Asia, Russia even. And we're probably going to try to extend it over to Europe, but it may take some modified products because they have completely different standards and ways of fighting fires over there. But yes, it's definitely gone from sort of a weakness of ours to a strength and something that at the rate it is going, it could be our #2 or 3 division fairly soon. 
Douglas Ruth: Yes, that sounds a really terrific. And then it seems like you've really increased the sales of disposal -- disposables in America as well. 
Stephen Bachelder: We've had a good quarter, and I think there's 2 factors there, really -- well, 3, really. I mean, obviously, we continue to try to convert people from Tyvek, and we continue to have success there. We benefited from a strong economy this spring in the U.S. Last fall, so many of our customers were nervous. They weren't ordering with confidence. I think we've all noticed the economy has been stronger of late, that's helped a lot. The other thing is, operationally, we've done a better job of having the right product in stock. As you can imagine, when the supply-chain stretching to China that from the time you order fabric to the time you deliver it, it could well be 6 months. Production planning to try to meet what your demand is going to be can be pretty tricky. So we got a great team, Vice President of Manufacturing, Todd Moncrief; and the Finance, Terry Hunt, have done a great job in Decatur of really increasing the accuracy and timeliness. And of course, the people manufacturing in China and Mexico have -- they're just getting more efficient all the time. I think it's absolutely one of our great strengths. And so we were in all but very isolated cases, able to ship very timely to customers. And in fact, at a recent meeting with a large group of distributors, we were given a lot of praise for how well we shipped. It's been noticed. And that -- obviously, that's -- when you have a reputation for dependability and shipping on time, it means you get called first. So that's a real asset. 
Douglas Ruth: Congratulations on that, that sounds very positive. 
Stephen Bachelder: Yes, I'm very encouraged. 
Douglas Ruth: How did the move go from shutting down the Pennsylvania facility? How did that work out, do you think? 
Stephen Bachelder: Well, Doug, you've been an investor long enough to remember that when we moved the fire division from Missouri to Decatur a couple of years ago, it was anything but smooth sailing. So we learned a lot from that. And again, the people like Todd Moncrief and Terry Hunt and the whole team in Decatur. And I will say the people in Pennsylvania have been very good. It's not fun, and we all feel bad about people losing their jobs, but it was operationally necessary, not only to continue our improvements and efficiency and control, but to reduce fixed expense to do this. And they put together packages that really sort of allayed people's fears and treated people right. And we've now stopped production in Pennsylvania. Everything will be moved to Decatur as far as what we will continue to make in the U.S., and within another month or so, maybe 2 months. And it's -- we've gotten really gratifying cooperation from the people we asked to stay on longer. Every one of them has really -- I just take my hat off to them because it's not an easy thing. But it's all about treating people right and fair and being open, and we didn't try to hide it from everybody. We told them upfront what was happening and addressed their concerns. And so much of a move is making sure that people aren't going to sort of sabotage it. I think we had some of that. There was some bitterness and perhaps the way it's handled last time, we learned from that. It just usually pays to treat people as well as you can. And I'm not saying it's all done and it's all perfect, but I think the way it's been handled with regular conversations and keeping everyone in the loop has been just terrific. 
Douglas Ruth: And for going forward, the margin should be higher in America with a less of -- one less facility. Is that correct? 
Gary Pokrassa: Yes. Of course, the manufacturing should decrease, Doug, I guess. Our overhead in Pennsylvania has been eliminated. 
Stephen Bachelder: Yes. So we got the fixed cost savings and the cost of goods savings. 
Douglas Ruth: You had that increase of the disposables. Is that because you had used the outside contractors? Is that a onetime expense, you think? 
Stephen Bachelder: Well, when you -- we've had, as you can imagine, tremendous growth in demand ever since -- for our own production since we lost the DuPont products in the U.S., but also our growth rate internationally has been very strong. And we have our Weifong [ph] plant running basically at full tilt, but there's time in the busy season when to meet demand we have to have some help. So it's not a onetime thing, it's something that needs to be part of the operation when we need it. We prefer to make things in our own factory because we know we have more control. But we have -- apparently, the folks there are doing a great job of coordinating, and the contractors know what's coming. And so we're getting great turnaround from them. But it's just the nature of any business that's seasonal and has kind of a fixed investment. You're going to have to have kind of a safety valve at times, and that's what they represent. 
Douglas Ruth: All right. But we had -- in effect, we had 2 onetime charges in America. We had the, approximately, the $300,000 charge for the -- for closing the Pennsylvania facility and then we had a... 
Gary Pokrassa: $235,000, Doug. $235,000. 
Douglas Ruth: I'm sorry, $235,000. And then we had the $300,000 inventory charge. 
Gary Pokrassa: That's for the old Nitrosol gloves, and that's been fully written off. 
Douglas Ruth: But that was in the first quarter? 
Gary Pokrassa: Yes. 
Douglas Ruth: Yes. All right. So in effect, the margin should be better in America going forward? 
Gary Pokrassa: Yes, we would think so, yes. 
Stephen Bachelder: If you exclude those items, obviously, we turned ongoing operation, we would have done better, too. But those things have to get out of the way. The chart for Pennsylvania, we will recoup, probably, I would guess, in 6 months as far as -- a lot of those are severances and things like that, just in terms of our fixed expense savings. 
Douglas Ruth: I'm not criticizing. I'm just trying to clarify in my own right. 
Stephen Bachelder: Yes. 
Douglas Ruth: And then how much of a difference do you think it will make, if you can get the permanent financing in Brazil? 
Gary Pokrassa: Well, the difference is -- strictly in Brazil, that wouldn't extend to anywhere else. But the issue we have right now is we have a nice backlog. And he's done everything he possibly can to stabilize the cash flow, to cut cost, change our strategy, rationalize our production. He's done everything. The last hurdle is to get permanent financing, which would allow us to really manufacture and fulfill the backlog. So we actually think once we can get that in place, that's the last missing piece to bringing Brazil, not even to a turnaround, but hopefully to a modest profit before the year is up. 
Douglas Ruth: That sounds encouraging. And then could you offer a little commentary as far as what's happening in Russia and Kazakhstan? 
Gary Pokrassa: Would you want to answer that? Neither one of us are totally up, but... 
Stephen Bachelder: Here's what I'm hearing from our guy, Vitale [ph], who is our person who runs those areas. There's no question. He's seen a slowdown in economy there because of the Ukraine -- Ukraine situation. But he continues to gain ground and is working on some pretty interesting deals. But Chris could probably answer that a lot better, but I did hear from Vitale [ph] that there's -- definitely people are kind of pulling in their horns a little bit right now because, I mean, we all know it's -- I don't think anyone's worried about war or anything, but people just want to be careful. 
Operator: Our next question comes from Mike Dissler [ph], a private investor. 
Unknown Shareholder: As a long-term shareholder, private investor and unofficial advisor to family and friends, I just had a couple of quick questions because I've been following as a shareholder long time, as you guys have, in fact, over the conference calls. Steve, great job moving on up, you're doing great. Gary, thank you. Just a couple of quick things, having run a substantial division for Fortune 300 company that did put business in Brazil. How have we, as a company, protected ourselves, the company, from another potential disaster with the new turnaround, especially a CEO there? In other words, clearly, you must have contractually done something different so that we don't end up in another nightmare scenario. And I'm just wondering, that's number one, really fast. And I don't need a whole long lengthy there. Two, in terms of Brazil, I'll get this over with quickly with Brazil. I assume that if and when we do get the permanent financing, you would be then able to, in the following quarter or 6 months, be able to consolidate those results in terms of the financial statements. And three, has the World Cup played any role in either growth or backlog in there? So one, two, three in Brazil. 
Gary Pokrassa: Let me tackle this one, Steve. In terms of insulating us, there really isn't much exposure left on the downside, frankly. And everything we've done does not include the parent company as a guarantor or as an obligor or as part of any agreement. So at this point, if we wanted to, we could simply walk away and abandon it. Not that we're going to, but that is not our intention. But we have done -- every action we've taken in the last 1.5 years or so now has been with that exact objective and goal in mind, is to wall off the parent company and the rest of Lakeland from any liability in Brazil, and we've done that. So there is nothing. The VAT tax, which is the biggest issue, is strictly, I have legal opinions, strictly limited to Brazil, it does not extend to the parent company. And with our new financing, one of the issues is we are barred from contractually by covenants with our bank from putting in any additional investment into Brazil even if we wanted to, which our Board has not taken that action in any case. But we're barred by our financing from doing that even if we wanted to. So I don't think any shareholder has to worry too much about any further major downside to Brazil. And I'm sorry, what was the second question? 
Unknown Shareholder: Number two, it's interesting. It's an assumption of mine... 
Gary Pokrassa: No, you made an assumption that we are not consolidating. We are. Now all I'm doing with some of the... 
Unknown Shareholder: Once the financing is in place, or you're just bringing it out right now so that we can... 
Gary Pokrassa: We're separating it now for 2 reasons. One is because this is what our bank requires, and this is how our bank -- this is -- I'm reporting to the shareholders, essentially the same numbers -- it's not actually exactly the same numbers. Whatever you see in those tables that show the breakout consolidated Brazil and worldwide, excluding Brazil, the same numbers go to the bank. That's our reporting to the bank, and that's our major covenants with the bank is adjusted EBITDA worldwide, excluding Brazil. Everything else is based on that. And in terms of going forward, we have a 3-year agreement with our bank. At the end of this month, it will be a 1-year anniversary of that. So we're 1 year into the 3-year agreement. And that walls off Brazil totally. Okay. We are -- as I said, we are precluded from sending any cash investment or advances into Brazil. And that's how our bank was able to extend financing. 
Stephen Bachelder: Good. Can I add something to that? 
Unknown Shareholder: The other thing is unimportant on Brazil. The 2 other issues, I'm just bringing them up to you, because I'm an older guy. One is in terms of the Russian business that you have and are doing and will do, are there any -- or do you -- are you at all concerned in terms of the -- how you're getting paid and what the time lag is? I don't know what terms you sell on over there. 
Gary Pokrassa: In Russia, we are getting -- we're dealing with larger companies that are credit worthy, some larger auto companies and government agencies. And in many cases, we're getting prepayments actually, so... 
Unknown Shareholder: Yes, I was going to... 
Gary Pokrassa: No, no, no. That's a major issue. Whenever we have a sale in Russia, the creditworthiness of the customers is a major issue before we even close on a sale. 
Unknown Shareholder: Yes, because even a letter of credit run through a Russian bank is much like the Brazilian court system. 
Gary Pokrassa: That's very, very well put. Yes. 
Unknown Shareholder: And finally, and this is just, once again, as an owner to another owner who happens to run the company among the top managers, in terms of Argentina, just a quick thought regarding quotas that I have run into. I was in the textile business. I'm very familiar with the area that you are in. I was never in your particular area, but in high-volume China, India, Pakistan, Brazil goods, et cetera, worldwide, and of course, basically based in the states here. But in terms of getting through some of those, I have found in the past that -- how can I phrase this delicately? That approaching the government with sales directly, meaning offering products to the government, it sometimes ameliorates a condition that exists in a division of the government, which is limiting quotas, meaning that just by becoming a better supplier to the government itself often facilitates doing business with nongovernmental agencies at state and local agencies in those countries where there are quotas, et cetera. There's no quid pro quo for tit-for-tat. I'm not suggesting anything like that. All I'm suggesting is the more business you do directly with the government, the more comfortable the government is with you as an entity, and with you -- you are doing business in the country, not that they will violate their own laws, but they will certainly help -- they will facilitate your being able to get through each quarter and optimizing the volume you can do per quarter. I just have found that historically over my almost 40 years of doing business. And I'm... 
Gary Pokrassa: That's a fair statement and our sales manager there does call on fire departments and government agencies as part of our normal regimen. Yes. 
Unknown Shareholder: That's all. I just wanted to make sure that you're blazing with all guns there because I understand the brick wall you run into, you hit the number, and that's it. 
Gary Pokrassa: Well, there's import restrictions. 
Unknown Shareholder: I understand. 
Gary Pokrassa: One of the things we're working on is doing some exports from Argentina that would earn us export credits, which would then in turn allow us to import more. 
Unknown Shareholder: How would you be able to export from there if you can't import in there, though? 
Gary Pokrassa: We're -- leave it to the moment that we're working on one possibility that we're not quite ready to fully announce yet. It may or may not work, but we have -- we're hopeful we have a way around that. 
Unknown Shareholder: Trade as cautiously as you have been in the last 3 years. 
Gary Pokrassa: Yes. And another point with Argentina also comparing it to Brazil. Argentina, first of all, the problem is the government itself. It's not the rest of the business community. We have no issues with them. It's the government itself, unlike Brazil where it's the business community. And the other issue in Argentina is we have not had a major investment done on the scope that we did in Brazil. So we've minimized any investment in Argentina. 
Stephen Bachelder: Yes. Mike [ph], can I just say something quick here? One thing we don't do that hurt us in Brazil is we don't sign any contracts that are arbitrated by Brazilian panels. 
Unknown Shareholder: Absolutely not. 
Stephen Bachelder: They're international. 
Unknown Shareholder: I know that not only regretfully, not only from Lakeland's experience. I know it from my own. I can't say from my own personal experience, but from several other entities that have done business there through the decades that what happens if it gets to that system and you know this. It's just a piece of paper to them. There's no handshake involved... 
Stephen Bachelder: Yes. We should have talked to you about 5 years ago. 
Unknown Shareholder: Well, I was... 
Gary Pokrassa: We thought we had it because... 
Unknown Shareholder: I was concerned, I believe, if you go back to the conference call, I think you'll find that I expressed a concern. 
Gary Pokrassa: To tell you the truth, we thought we had it as an international area. But we dealt with the Canadian-American -- the Canadian-Brazilian Chamber of Commerce runs the arbitration. We thought that was fine, and obviously, it wasn't. 
Unknown Shareholder: Yes. Obviously, I'm not going to pull the scale above this. I truthfully think there was nothing you could do. I'm a helpless shareholder as you are. But there was nothing to be done. I do believe you did all your due diligence. I'm not -- in no way am I guessing in this version. I'm just saying that, that's it. I'm really not going after that at all... 
Gary Pokrassa: Understood. Yes, but the good news is like we've said, we've definitely bottomed out. We're starting to go back up. In fact, right now, the biggest constraint -- we've got growth and orders. The biggest constraint is working capital fill-in [ph]. And your last question was the World Cup? 
Unknown Shareholder: Right. Yes, that was... 
Stephen Bachelder: They expect June to not be a great month because essentially the country is going to be on vacation. 
Unknown Shareholder: Yes, that's really what I was [indiscernible]. 
Gary Pokrassa: Also, it's totally paralyzed. If you've read anything, I was just down there a couple of weeks ago, there was a bus strike the day I was there. And my God, I mean, our CEO lives about 40 minutes from our office, it took him 3 hours each way, sitting in traffic. 
Unknown Shareholder: Right. I think he should be doing some of that commuting from home kind of work. 
Stephen Bachelder: He's got to meet with a lot of people. He does that to a large degree. 
Unknown Shareholder: I congratulate you on really turning this thing around. I know it's not a speedboat. It's a crew, it's a battleship, so I appreciate the level of effort you guys have put in, cutting your compensation, Gary, you and Chris, and all that. 
Gary Pokrassa: Steve, too. The 3 of us. 
Unknown Shareholder: Stephen, sorry. I didn't realize. I know that you -- we're all in this together and I appreciate the effort you guys are putting in. I know we're headed on the right track, and that's it. We get often let the next guy speak. 
Operator: [Operator Instructions] And at this time, I am showing no further questions. This concludes our question-and-answer session. I'd like to turn the conference back over to Mr. Bachelder for any closing remarks. 
Stephen Bachelder: Okay, thank you. Well, we appreciate your participation in Lakeland's Fiscal 2015 First Quarter Financial Results Investor Call. As we are committed to delivering value for our shareholders, we believe Lakeland will continue to effectively manage its balance sheet, control expenses and execute its strategy for long-term growth. We're very optimistic. Thank you again and goodbye. 
Operator: Thank you for attending today's conference... 
Stephen Bachelder: Thank you, all. 
Operator: Thank you for attending today's conference... 
Stephen Bachelder: Thank you, all. 
Operator: You may now disconnect. 
Gary Pokrassa: Yes, bye-bye.